Operator: Good morning, and welcome to the Icahn Enterprises L.P. Third Quarter 2025 Earnings Call with Andrew Teno, President and CEO; Ted Papapostolou, Chief Financial Officer; and Robert Flint, Chief Accounting Officer. I would now like to hand the call over to Robert Flint, who will read the opening statement.
Robert Flint: Thank you, operator. The Private Securities Litigation Reform Act of 1995 provides a safe harbor for forward-looking statements we make in this presentation, including statements regarding our future performance and plans for our businesses and potential acquisitions. Forward-looking statements may be identified by words such as expects, anticipates, intends, plans, believes, seeks, estimates, will or words of similar meaning and include, but are not limited to, statements about expected future business and financial performance of Icahn Enterprises L.P. and its subsidiaries. Actual events, results and outcomes may differ materially from our expectations due to a variety of known and unknown risks, uncertainties and other factors that are discussed in our filings with the Securities and Exchange Commission, including economic, competitive, legal and other factors. Accordingly, there is no assurance that our expectations will be realized. We assume no obligation to update or revise any forward-looking statements should circumstances change, except as otherwise required by law. This presentation also includes certain non-GAAP financial measures, including adjusted EBITDA. A reconciliation of such non-GAAP financial measures to the most directly comparable GAAP financial measures can be found in the back of this presentation. We also present indicative net asset value. indicative net asset value includes, among other things, changes in the fair value of certain subsidiaries, which are not included in our GAAP earnings. All net income and EBITDA amounts we will discuss are attributable to Icahn Enterprises unless otherwise specified. I'll now turn it over to Andrew Teno, our Chief Executive Officer.
Andrew Teno: Thank you, Rob, and good morning, everyone. We had a good third quarter. NAV increased $567 million. CVI, net of refining hedges, increased NAV by $547 million, and the funds, excluding refining hedges were up approximately 5%. For CVI, the outperformance was driven by 3 factors: the continued conflict in Ukraine, increased crack spreads and most importantly, the resolution of our small refinery exemptions from 2019 to 2024 and which removed a $488 million liability from the CBI balance sheet. Going forward, our hope is that the Trump administration and the EPA will continue to grant small refineries, the exemptions they deserve. And to be clear, we believe that Wynnewood is entitled to receive 100% exemptions going forward. Turning to the funds. We were up approximately 5%, excluding refining hedges. The big winner for the quarter was our investment in EchoStar and big detractors were the broad market and refining hedges. In terms of our top positions. AEP is an electric utility that is benefiting from the AI infrastructure buildout. Importantly, not all electric utilities will benefit the same from the AI build-out. In order to be a winner, you need to have 4 things: The right jurisdictions, the right assets, enough scale and a hungry management team. AEP checks all those boxes. AEP has sizable operations in the data center hotspots of Texas, Indiana, Oklahoma and Ohio, which have available land and low power prices. AEP had the right assets given its 55% mix of earnings from transmission which enables timely recovery on investments and the ability to build new generation across multiple jurisdictions to support the increasing power needs. Scale is important because investments in new power generation are large dollars, a $3 billion investment can be too big for smaller entities to fund. With a greater than $60 billion market cap, AEP has the necessary scale. And lastly, you need to have a management team that is hungry that wants to win thinks creatively and matches the intensity of the customer base. Under the leadership of the new CEO and CFO at AEP, we believe we are in excellent hands. Turning to Southwest Gas. SWX has recently completed its full separation from Centuri and now has an absolutely best-in-class balance sheet. The company should grow earnings faster than Peter gas utilities given recent legislation and policies in both of its key jurisdictions that enable more timely recovery on investments. Southwest Gas also has a potential significant pipeline expansion for data center, power gen and industrial users in Northern Nevada. With both growth drivers, 2 research analysts recently predicted that SWX could grow net income at a 14% CAGR between 2025 and 2029 when many peers will be in the 6% to 8% range. For EchoStar, we were attracted to the asymmetric upside driven by the highly valuable spectrum assets. The recent deals to sell spectrum to AT&T and SpaceX highlight that value with the stock having increased from the teens in June to approximately $75 per share as of quarter end. We think there is still considerable upside remaining. IFF is a high-quality consumer staple company. The refreshed management team's focus on high-growth and innovation-led businesses has enabled IFF to streamline its portfolio rightsize its balance sheet and restore financial flexibility to invest in R&D and return cash to shareholders. With the company continuing to drive improvement within the food ingredients business, IFF is near an inflection point that will enable it to close its discount to peers. For Caesars, no doubt we have been disappointed with the recent performance, but our thesis is unchanged. We see considerable owned real estate value a growing high-quality digital business at the early stages of an iCasino rollout across the country and significant free cash flow being used to repurchase shares. I would also like to mention our recent 13D filing related to an investment in Monroe, which has approximately 1,100 auto service locations across the U.S. We think Monroe is an attractive investment opportunity and look forward to discussing more in future calls. And now I would like to pass it on to Ted to discuss our controlled businesses.
Ted Papapostolou: Thank you, Andrew. I will start at our Energy segment. Andrew has already touched on the major highlights. I'll just add that the energy segment consolidated EBITDA was $625 million for Q3 '25, compared to a loss of $35 million in Q3 '24. Moving to our Automotive segment. Q3 '25 automotive service revenues increased by $11 million compared to the prior year quarter. We are pleased with the same-store sales performance with revenue increasing by $21 million or 6% as compared to the prior year quarter. As we fine-tune our product, pricing, labor and distribution strategies, we believe enhanced profitability will follow. We've also made significant changes to our store footprint. During the last 12 months, we closed a total of 89 underperformers, of which 20 came subsequent to Q3 '25 and we opened 14 new locations. We will continue to analyze our footprint and close and open locations where appropriate. Subsequent to quarter end, we transferred the vast majority of our owned properties out of the Automotive segment into our Real Estate segment. We believe this move will help unlock the value of both our real estate and auto service operations. Now turning to the other operating segments. Real Estate Q3 '25 adjusted EBITDA decreased by $12 million compared to the prior year quarter. This decrease was primarily due to the sale of our Country Club earlier this year. We expect EBITDA to increase in the second half of 2026 as we ramp up construction at our existing club and surrounding development. During the quarter, we closed on certain properties for a pretax gain of $223 million. Food Packaging's adjusted EBITDA decreased by $8 million for Q3 '25 as compared to the prior year quarter. The decrease is primarily due to lower volume, higher manufacturing inefficiencies and disruptive headwinds from the restructuring plan. We expect the restructuring plan to impact results until its completion, which is now expected to be during Q2 '26. Home Fashions adjusted EBITDA decreased by $4 million when compared to the prior year quarter, primarily due to softening demand in our U.S. retail and hospitality business. Pharma's adjusted EBITDA decreased by $7 million when compared to the prior year quarter, primarily due to reduced sales resulting from generic competition in the anti-obesity market. We are excited about our developmental drug for PAH. We finalized our partner for the CRO and have named the trial TRANSCEND. The trial will consist of approximately 90 sites across the globe with total enrollment of 300 patients. The first patient is to be dosed during Q1 2026. If this product obtains approval, it potentially will be the first disease-modifying product for the treatment of patients suffering from PAH. And now to our liquidity. We maintain liquidity at the holding company and at each of our operating subsidiaries to take advantage of attractive opportunities. As of quarter end, the holding company had cash and investment in the funds of $3.4 billion and our subsidiaries had cash and revolver availability of $1.2 billion. We continue to focus on building asset value and maintaining liquidity to enable us to capitalize on opportunities within and outside our existing operating segments. Thank you. Operator, can you please open up the call for questions.
Operator: [Operator Instructions].  I will turn the call back to Andrew Teno for final comments.
Andrew Teno: Thank you very much. Thank you, everyone, for joining. And I'd like to leave with a reminder that here at Icahn Enterprises, we are intensely focused on our activism strategy. We have unique advantages, including the Icahn brand name, and a long history and willingness to waste proxy contests. It is this track record, which frequently allows us to be invited to join boards and work cooperatively with our fellow directors to make the key changes that will drive shareholder value. Furthermore, given our balance sheet, liquidity and permanent capital structure, we have the ability to tender for entire businesses, the tool most simply do not possess. Though our returns can be lumpy and dissatisfying at times. And again, this quarter, they were quite good. We continue to focus on our activist efforts at both our Investment segment and controlled businesses, and we believe they will bear fruit for all unitholders. Speak soon.
Operator: Thank you. And with that, we conclude our conference for today. Thank you for participating, and you may now disconnect.